:
Executives: Morry Taylor – Chairman & CEO
Analysts: Ian Zaffino – Oppenheimer Philip Volpicelli – Cantor Fitzgerald Kent Holden – HAM Funds Eric Dubowsky – Alpine Associates Derrick Wenger – Jefferies & Co. Larry DeMaria – Sterne Agee
Operator: Ladies and gentlemen, welcome to the Titan International, Inc. first quarter earnings call. During this session, all lines will be muted until the question-and-answer portion of the call. (Operator instructions) Any statements made in the course of this conference call that state the Company’s or management’s “intentions,” “hopes,” “believes,” “expectations” or “predictions” for the future are considered forward-looking statements. Please note that the Safe Harbor statements contained in the Company’s latest Form 10-K and Form 10-Q filed with the Securities and Exchange Commission extend to this conference call and any forward-looking statements involve risks and uncertainties as detailed therein. At this time, I would like to introduce Titan’s Chairman and CEO, Morry Taylor. Please go ahead, sir.
Morry Taylor: Thank you. Good morning, everyone, wherever you’re at. As I’m assuming that everybody has got the press release and the 10-Q, if not, it’s out on the internet. Looking at the past quarter, past quarter was a less than better than it was '09, but it started off slow, but then it’s continued to pick up pace. And the pace is still picking up, which is good. So, going forward, it’s going to be pretty decent for the second quarter. I went through all of the things and explained what I’ve said in my little statement there in the press release. Big A has been real good and (inaudible) both John Deere, everybody is increasing what they’re doing in the Big A. And I expect that to run all the way through the rest of the year. That’s real good for us both from a standpoint of wheels and the standpoint of tires. The situation for the lead and small farms also the tractors that go up to approximately 135 HP. There’s some positives in it, but I’m not getting all excited. Our people are not getting all excited, but a little bump of positiveness in it, mainly because those tractors are mainly used in the residential for the various home building, etc., It’s also tied into nurseries, and it’s also tied into a lot of counties, state government and even some of the feds reference all of the mowing and everything that’s you get to grass and everything else. So, most of those people don’t have budgets even to pay their workers leave alone enough to buy any equipment. So we’re not real positive, long outlook on it. And if we get a bump up, that’s great. The construction side of our business has moved up, mainly just because of the restocking of machinery for the OEs and most people are waiting they rather put new tires on equipment and they rather rebuild some of the equipment and going and the buying, so it’s still off at least 50% from the old seventh. When we get into the other segment, that’s in our construction side, which is mining, both underground and above ground, we’re seeing great, great opportunities there. And everybody I know is concerned about the big giants, super giant tires. Well, let me explain to everybody. I’ve been up to the oil sands, a couple times. The new generation to we came up with, has performed much better than even we expected. The problem from the first generation was that it was a tire that was a very robust tire, but being robust, it turned around, and it would generate the heat in the steel belts that are underneath the tread and you would generate the heat, the heat will get so high you would actually note the rubber between the steel. And that’s a bad situation. We dropped almost 40 degrees in the running temperature on to the same loads. We did a lot of things to improve that tire. We also came out with a new tread design so that we’re gone cooler. But the benefits that came about it is that new tread design has great, great traction and when we were up there, as you can appreciate in the north, they have a little thought there, so they were running these 400 ton trucks, and like about three-foot of mud, unbelievable. Ours is the only one of the competitive tires up there. They just ran right straight to it. Everybody else had a little Caterpillar D11 so as we try and push it through the beds. So we’re real pleased. Those tests up there are running along. We also have dropped down and we have supplied on smaller sizes, the 49-inch, which have been running in the Kentucky and the West Virginia mine. And the same thing we’ve got enough and but rails on that. Most of those tires have between 700 hours and 800 hours on them. We want to see them when they get approximately 2,000 hours. We got a pretty good feel how that tires going to work. We believe that’s a safest tire that’s out there from the standpoint that in the oil sands when they run over and had cuts and they slice into the tire. Our tire did not explode, it’s just last there eventually, and we actually even cut one tire and tool and presented it to the mine, where you can actually see, where a piece of steel, which straight out through the tread, punched through the belt package, but didn’t appears our casing, that’s quite remarkable. So we’re kind of like very excited about how things are rolling right at this moment. And as I had said earlier back in December and I said in this press release that if we’re going to have a good year this year we can have a great year. The great year will be after the second quarter. If the mining and the excitement continues where we’re going, we’re going to be a very busy company, producing big huge tires. The other situation is we did will be putting up a facility up in Fort McMurray. Actually, its north of Fort McMurray. And the reason for that is you’re going to appreciate just probably more tires sold up there than any place house. You have to have something up there. If you are having your dealer service any of all those mines that are up there. Because not just for super giant tires, but whether it’s a crane tire, whether it’s an articulating dump tire, any of those sorts of things. Because it’s cold, you can store your tires outside, but you have to pull them in one every mount before you ever mount them up. But you would never know to mount them up. And that’s what we’re going to be doing up there. The second thing I’d mentioned in my press release is in Mexico; we’ve been negotiating with another company and doing a joint venture for all the distribution in Mexico. Because Mexico is such a large market in both the farming and the mining. So we’re really excited about that. And we should have that that also in the next two months. The situation of our development of product, as I mentioned in the press release, we have our new 800X46 tires, running at a big John Deere four wheel drive tractor. We expect that to continue. And our belief is that is trying those that’s going to be great, great traffic generator for us. We’ve been moving more and more in different types of tires because of our ability, to be able to rework, take moles that we’ve had in production. This is then a great asset that we have as a company. And of course, if you make a little tire, if you change it, you have to have the new wheel. So between the two we’re very, very, very lucky for what we do and how fast we can move. And we’re moving on to that because we believe also it will allow us to increase our margins on some of the new products that we have. So that’s good. Then it’s pretty exciting time. Then of course, you get to the good, bad and that’s on the acquisitions on. I think it’s pretty well stated in my little press release there. But for you to want to know we’re still continuing on all the different things that have popped down. The problems are, of course, doing all the due diligence and everything else, we have to do with our great lawyers and course, that takes so much longer than anyone ever expects. And then so takes an awful lot of time, but we will be better off to take the time now we have a problem later. And then the other situation is probably the good part is that there is a lot, a lot of opportunities, and we’re looking at all of them, and we’ll be in very prudent how we go. And once we get it through, of course, the last thing is our friendly banks would probably want to see us some, even if we have the money that they’re telling me don’t or you should wait, wait. So it’s just a frustrating part on working out on that situation, but I think we‘re getting close to doing a few things. And that’s pretty much where we’re at. So it’s a great time. So with that why don’t we just roll it all open for everybody’s questions?
Operator: (Operator instructions) And we’ll go to the line of Ian Zaffino with Oppenheimer. Please go ahead.
Ian Zaffino – Oppenheimer: Great, thank you. Congratulation on the good quarter.
Moory Taylor: Thanks.
Ian Zaffino – Oppenheimer: Question would be on the (inaudible) pricing side. Your wheels have gone up. I know you’re going to (inaudible) to pricing. Is it something where you’re going to announce it or you can just do it without any couple of announcement?
Moory Taylor: Well, I announce it to the people that we’re giving a price increase that we just turn around and do a great big press release. Maybe somebody in sales put something like that out. But we probably do that more or less where we just notify our customers. As I said in the press release, generally speaking, whether it’s with Deere, whether it’s with C&H, all of our big accounts, we have many agreements and all the agreements basically say that if we’re going to give a wheel price increase which would mainly be towards steel that we have to give them a 90-day notice and we do that. The same thing is true in the tire side. When we give an increase to Mother Deere, reference to tire, you spell out your bead wire, your cost of your fabric, your cost of carbon black, your cost of natural rubber, and your cost of synthetic. And you show where it was, and where it’s gone to. And you’ll see a there is a percentage of the increase per tire that you buy. And all they’re will tell you, well, keep me weighted this, well, increases that going up, so that will be pass, that’s selling. The same thing happens when the price is dropped. They’re real quick to call you. So that’s what happens. And the after-markets a little bit different. The after-market you generally give a 30-day to 60-day notice and you just institute it. Okay? And then the big fight there is if you behind in a few shipments then the dealer yells that you that you got to reship them the tires, he’d order before you put a price increase. Now, some of those you agree with them and some of them you don’t. So that’s pretty much how the price increase. But that all goes right. It’s mainly a pretty pass-through. We got a pretty good history last few years of doing just that. So that’s my answer. I hope I answered your question and that’s what we do.
Ian Zaffino – Oppenheimer: That’s fine. Now as far as demand, I mean demand is going to enough to offset the increases in raw materials. And just that I know you have a lag. So, in the interim, is demand going to come back good enough to offset that?
Moory Taylor: Well, demand, there is no answer, but to (inaudible) but the case of offsetting it together, remember, you build in tires of building wheels, wheels, we’ve already given umpteen months out, so the steel for making wheels has been ordered and it’s in a process, so you don’t turn your inventory in 30 days, you generally, on the big tires, you got natural rubber that you bought, so you’re pretty well okay, for the next 90 days. The only problem is that you will end up is it you think it’s just going to be keep going up, up and up. We got the burn end of '08, '09, because our (inaudible) bought out for six months and then you got all that you’re contracted to take it and then it went south. So, we’re not doing that any more. We’ve got like 90-day and that’s it. So we’re sitting here and a great month of May coming up. May, June and July already done. So that’s already in our system. We know what that is. But if it’s still going up over August, September and that, then we will turn around and we’ll notify everybody going. So, this will be my 30-day but no big thing. That’s how I look at it.
Ian Zaffino – Oppenheimer: Okay, great, thank you very much.
Moory Taylor: You’re welcome.
Operator: And we’ll now go to line of Philip Volpicelli with Cantor Fitzgerald. Please go ahead.
Philip Volpicelli – Cantor Fitzgerald: Good morning, Morry. How are you?
Moory Taylor: Pretty good. Phil, yourself?
Philip Volpicelli – Cantor Fitzgerald: Good, good, thank you. I was just wanted to touch a little bit more on the acquisitions and the comment you made with regard to the banks. You said even if you have the cash you don’t want to spend it a little longer any from them. Should I read into that that the banks are unwilling at this point to help you refinance your balance sheet if you were to make one of these acquisitions or are they basically saying you can only use cash you have in the balance sheet?
Moory Taylor: No, I think what’s happened is you hear a problem and I think what you have to do is you have to make a much bigger case. They chew it around a little bit. And as you know we have a lot of cash in our balance sheet. And our attitude to them right now is that what we’re going to do, we have got to get everything, so to speak all the eyes and tees dart in. We’ve just talked to them in generalities. And of course, the sales people for the bank is nice and they’re real excited to do something with you and then you get to the credit boys, the credit boys would prefer that you wait to see how the whole economy is going, and when you start talking about certain things and using your cash, it’s incredibly first to tell you, well, you know under the agreement, anything over 50 million you have to have our permission even if you got all the money in the bank. And they explain the reason being and everything. So the big boys out with you guys are. It’s all pass in valley, no money sheets and I’ll try and build their reserves up, okay. They complain them, but if we got a good real good case then we think we got to present it. So we’ll not do the same with our Board, but before you go to your Board, you want to make sure where your banks are. Is Board's going to ask that question? And I just think they are just doing this steady smooth. And generally, we go buy something today and let’s just say, you buy X and we buy Y, and you’re going to put X and Y together and this is how it’s going to go. Then I think if the X and Y, someone who’s going to give them to you for nothing, they would still be scrutinizing it so bad. Because it’s all this extra cash flow you’re going to be using just to for working capital. And then it’s just a definite situation today than it was two years ago or a year ago.
Philip Volpicelli – Cantor Fitzgerald: Got you. Is there a deadline that you have in terms of when you’re looking at these acquisitions that you say, look, have you done by certain time or you just kind of continue to plug away until you get something done?
Moory Taylor: No, I won't’ plug away until we get it done. There’s no sense and actually when you think about it we’ve been working on these for quite a long time. And it’s not a case where you just up there and say, hey, I would really put this date, because it’s due to that you’re going to get, done and toasted. Not interested in being toasted, too old from there.
Philip Volpicelli – Cantor Fitzgerald: Got you. Last question for me, the four McMurray and the Mexican operation, you know what is going to cost you to get those two up and running?
Moory Taylor: Well, I do, but if I tell you and I got my competitors on this phone and everybody else, but to satisfy you, it’s not going to cost that much.
Philip Volpicelli – Cantor Fitzgerald: Okay. So single-digit kind of millions?
Moory Taylor: Yep.
Philip Volpicelli – Cantor Fitzgerald: Great, thanks, good luck.
Moory Taylor: Yep.
Operator: And we’ll go to line of Kent Holden with HAM Funds. Please go ahead.
Kent Holden – HAM Funds: Good morning, Morry.
Moory Taylor: Good morning.
Kent Holden – HAM Funds: I wanted to ask about the outlook that you got in the press release where you said the future looks bright in mining, underground and above ground. And then the comment on the earth moving/construction market in the Q, where it says that remains challenging for the rest of 2010. I was kind of wondering if you could give us a difference between those two segments?
Moory Taylor: Sure. The one, we have many challenges was out in the fields running around. And the other is our friends from our accountants, PW and that comes from the accounting people I met. And they always look back. And they are skeptical on the future, it’s clearly –.
Kent Holden – HAM Funds: This is that management’s discussion though.
Moory Taylor: But I let those guys were there and they want to see it a little bit higher. I have been the only one of management that’s been out in the (inaudible) sales guy then out in the other field. But as you’re just seeing I think if you heard Cat announced this morning and they basically a backing up where I’m going. Everybody else takes much more cautious steel of it and I appreciate that. When you’re spun with a commodity they can go real quick. But the reason and my view is that why is that the situation that I see is that automotive this year is not looking at 11,000 car a year, they’re looking at a 12,000. Therefore, the steel board is if you go up to Minnesota, you go look at Cleveland Clerk US Steel owns some of their own ore mines at the Minnesota. They also have partners so as Mittal with their friends at Cleveland Clerks. So what we are looking at is we went to both our friends at US and we went to McDowell, and we probably between Titan and Titan Europe, we buy an awful lot of steel, we are big, big customer. So we propose them, you know, hey, we think that the wheels that you use on all that equipments should be wheels that are produced with the steel that you guys make instead of coming from China or Japan. And the upper people that I’ve talked to at US steel clients have agreed. So I’ve made my first trips to those mines. And we have our sample wheels and tires going in. And I can assure you that that future is going to be very bright, the same as that all the steel mills in the US. So these are areas that we never tapped before and these are areas that are going to be very, very rewarding for Titan. And as I believe, we are voting for other steel boards. So I am really excited about it. Then as I mentioned out in West Virginia and Kentucky, we are running our new tires, are running new haul trucks out there, and they’re like a maze, because iron ore radial tire doesn’t bulge on the side, because the side walls are stronger. They’ve got greater traction where everybody else is spinning. And I believe in the hours that the tires have run the wear is very nominal. So everything is when you check all these things and you got your engineers and they go through, and they check them all up, what we’re really, we’ re really coming on stronger and that business is good.
Kent Holden – HAM Funds: In the same paragraph you said the second generation giant tire is performing above expectations. Can you tell us either what those expectations were or what they are?
Moory Taylor: Well, everybody figured that we would be rolling into in a competitive nature against our competitors and that since we got in this, we would be coming in at probably anywhere some in the 85%, maybe up to a 90% if you would grade them at a 100%, that’s where we would be coming in. And then I think everybody figured that over next couple years we would close that gap. Well I think that what has been found today is that there are certain elements like the traction, the abuse our tire can take, is probably at this range, probably, greater than our competitors.
Kent Holden – HAM Funds: I meant on sales volume, in numbers?
Moory Taylor: Oh, the sales volume, what’s happened is, we have put these out into the mines and we are running through our test procedures that go through up in the oil sands in Kentucky and as I said in my statement by the second quarter will be through that. And by the time we get done with that in South America, then we are often running, I mean you are talking some, some decent size orders, where that’s what I said in my release, that’s where you take a very good year, and you just make it into a great year. I don’t have the numbers.
Kent Holden – HAM Funds: All right, thank you.
Moory Taylor: All right.
Operator: We now go to the line of Eric Dubowsky with Alpine Associates. Please go ahead.
Eric Dubowsky – Alpine Associates: Hi, good morning
Moory Taylor: Good morning, sir.
Eric Dubowsky – Alpine Associates: I had a quick question for you; actually I have two questions for you. One of them just going through the balance sheet, so some technical I see it the accounts receivable and payable up year-over-year and quarter-over-quarter. I know you made the comment on in the Q that I just want to know is due to you guys position inventories on the table side provide you cost can you give some clarity on that?
Moory Taylor: Sure, the simple thing is, is that if you go back to the last year our hoping was generating cash. So we took our inventory sound and we generated cash and then of course, it looked like a smart move when you turn around and you run the beginning of the year, things took off a little bit slow. But at the same time that we get that all of the tire dealers out there, everybody else panicked and everybody else ran their inventories down. Now all hell is bust in this. Okay? So we are running to try to build with that orders and everything else. So your inventories is going to build, your volume is going up, so your receivables are going to go up and that’s what it is.
Eric Dubowsky – Alpine Associates: Okay, just wanted to clarify that. And then just a last question for you. I know you had mentioned about the banks earlier. In terms of acquisitions versus you mentioned in the past paying back 8% doing 12%, have you thought about possibly, looks like it’s going to be a turnaround for you, a very nice quarter growing organically, paying down or some of the debt and maybe making the borrowing versus expense in the future or what acquisitions possible be in stock instead of all cash if you go decide to do an acquisition?
Moory Taylor: Well, I would say that you are asking me and first thing you have to do, you have to make sure you are going to get the acquisition and you are going to whether it’s debt, whether it’s cash, whether it’s some stock, a restricted stock or whatever, those are all options that we have. And it really depends on the acquisition you’re going to do. Since I can’t announce that, it should help get going anybody everything. And if we can’t do any other then there is always the option of going out and making a tender and see if something makes sense to that. So this and all, we have so many options as I stated that it’s a pretty, we’re probably in the best of what we’ve ever been right now. I mean the business, the orders are coming in, and everything is going. So as we keep running, as you can see, our percentage of margin, we’re getting better, we’re getting more refresh in, we’re going to get more refresh in as we go.
Eric Dubowsky – Alpine Associates: Thank you very much for answering the questions.
Moory Taylor: Thank you.
Operator: We’ll now go to the line of Derrick Wenger with Jefferies & Co. Please go ahead.
Derrick Wenger – Jefferies & Co.: Yes, obviously, ex any acquisitions what is your capital expenditure budget look like for this year?
Moory Taylor: Our CapEx without acquisitions is what’s I’ve stated before is going to be we look at probably in the range of 12 to max 16.
Derrick Wenger – Jefferies & Co.: Okay, thank you.
Moory Taylor: You are welcome.
Operator: (Operator instructions). We will go to the line of Larry DeMaria with Sterne Agee. Please go ahead.
Larry DeMaria – Sterne Agee: Hi, Morry, how are you doing?
Moory Taylor: Hi, Larry.
Larry DeMaria – Sterne Agee: Thanks, good morning
Moory Taylor: I am doing pretty good, good morning
Larry DeMaria – Sterne Agee: Good to hear. Just had a Cat’s up this morning and they are saying that they are talking to suppliers about seeing significant volume increases in 2010. Can you just give us a handle on your outlook and kind of relate how the segment may slow throughout the year and possibly what kind of magnitude change year-over-year we should see for the annual?
Moory Taylor: Well, I know what Cat say and it’s like my friend said, Deere. Deere‘s announced going to try to double their combined capacity. They have announced 25% up in the four wheel drive. We just think we are happy as how for Cat, we are happy as how for Deere, C&H, everything else. I mean we love it. So we make the tires and the wheels. But we’ve taken a toll of different structure to our business. And from that standpoint what I mean is that we use to spend a lot of time at the OEs, trying to sell new products, new development, we sit with them. And that’s just like watching snail races. So what we have done and we have started it a little over a year ago where we’re going right to farmers, we’re going to the large farmers and we’re going and finding out their problems and asking questions. We are in there trying to develop a new product to solve to them. And then once you got them, the OEs, all of a sudden, Oh, they want to do it. It’s the same with Cat. Now when you look at wheels and tires at Cat, everybody has to remember, 95% of all Cat’s equipment lease Caterpillar without wheels and tires. That’s just a fact. So you deal with the big mines, the big mines will turn around and they will contract with you to buy the wheels and buy the tires. And there is reasons that happened over the years. And it’s the same was up with Fort McMurray. When you get up there and you go through, you look at truck seller. The reason that big mining trucks, these are the service trucks that are going out with well design them and everything else and they are stuck in all this mud, everything else. So it’s just so happens that we can make what you call, floater tires. So we’re in a process right now, we got to set up their running on a truck, we will have a different vehicle tools up where we can turn around and maybe it’s only 500 or 600 specials every year out there, but that’s a very profitable item, marginalized and it gets right into what we’re doing. I mean it’s brand new wheels, brand new tires. And once you are up there and once you do it, you own it. And that’s what we’re trying to do. So is the business all these big boys getting better? Yes, you know. There’s no question about it. But we’re in the mode of not only just make in the same way just what we do; we’re also going to change the widgets. That’s what I see the future and will make us so strong.
Larry DeMaria – Sterne Agee: Okay, thanks Morry. And then on the margin side, Morry, margin will be very high. Earth moving was obviously positive. You see the ag probably coming down a little bit over the year and earth moving going up. So that’s the trajectory we probably should see?
Moory Taylor: Well, I think internally, when we show our ag margin should go up and overall what you look at is I think the ag is going to go up and I think the mining is going to go up, I think both will go up.
Larry DeMaria – Sterne Agee: Okay. And then finally, Morry, the mining tires, obviously, sounds pretty promising from your commentary for the press release. Can you give us idea of how many hours you have now in the 57 and 53s or they get in 3000, 4000?
Moory Taylor: Right now, no, they are right around a 1,000, 900 to a 1,000. And we expect that our test should be pretty well completed by the end of the second quarter. We are pretty confident that it’s all going to be real, real well. And of course, if you listen to Cat, things are really going to boom. So, well, we have to just wait and see. It’s getting stronger and stronger. But I don’t want to run out and just blowing horns and party in here. So I rather just watch what’s going on.
Larry DeMaria – Sterne Agee: Great, Thanks, Moory.
Moory Taylor: Thanks.
Operator: There are no further questions in queue at this time. Please go ahead.
Moory Taylor: I want to thank everybody. You have a great week and we’ll keep you all posted. Thanks, everybody. Bye-bye.
Operator: Ladies and gentlemen this conference will be available for replay after 11:00 a.m. today through May 3rd at midnight. You may access the AT&T teleconference replay system at any time by dialing 1-800-475-6701 and entering the access code 152-560. International participants may dial 1-320 365 3844. Those numbers again are 1-800-475-6701 or 1-320-365-3844 with the access code of 152-560. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.